Operator: Good day, and thank you for standing by. Welcome to Synaptics Second Quarter Fiscal Year 2026 Financial Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Munjal Shah, Vice President and Head of Investor Relations. Please go ahead.
Munjal Shah: Good afternoon, and thank you for joining us today on Synaptics' Second Quarter Fiscal 2026 Conference Call. My name is Munjal Shah, and I'm the Vice President of Investor Relations. With me on today's call are Rahul Patel, our President and CEO; and Ken Rizvi, our CFO. This call is being broadcast live over the web and can be accessed from the Investor Relations section of the company's website at synaptics.com. In addition to a copy of our earnings press release detailing our quarterly results, a supplemental slide presentation and a copy of these prepared remarks have been posted on our Investor Relations website. Today's discussion of financial results is presented on a GAAP financial basis, along with supplementary results on a non-GAAP basis, which excludes share-based compensation, acquisition-related costs and certain other noncash or recurring or nonrecurring items. All non-GAAP financial metrics discussed are reconciled to the most directly comparable GAAP financial measures in our earnings press release and supplemental materials available on our Investor Relations website. As a reminder, the matters we are discussing today in our prepared remarks, in our supplemental materials and response to your questions may contain certain forward-looking statements. These forward-looking statements give our current expectations and projections relating to our financial condition, results of operations, plans, objectives, future performance and business. Although Synaptics believes the estimates and assumptions underlying these forward-looking statements to be reasonable, the statements are subject to a number of risks and uncertainties beyond our control. Synaptics cautions that actual results may differ materially from any future performance suggested in the company's forward-looking statements. Therefore, we refer you to the company's earnings release issued today and our current and periodic reports filed with the SEC, including our most recent annual report on Form 10-K and quarterly report on Form 10-Q for important risk factors that could cause actual results to differ materially from those contained in any forward-looking statements. All forward-looking statements speak only as of the date thereof. Except as required by law, Synaptics expressly disclaims any obligation to update this forward-looking information. I will now turn the call over to Rahul.
Rahul Patel: Thank you, Munjal. Good afternoon, everyone, and thank you for joining our fiscal second quarter 2026 earnings call. We delivered another solid quarter with strong results and continued momentum across our business. Total company revenue increased 13% year-over-year, marking our fifth consecutive quarter of double-digit year-over-year growth. This performance was driven by 53% year-over-year growth in our Core IoT products. Disciplined execution helped deliver strong earnings growth with non-GAAP earnings per share increasing 32% year-over-year to $1.21. The Consumer Electronics Show in January was a successful event for Synaptics. We saw meaningful engagement with customers and partners as we showcased the breadth of our latest technologies and solutions. We demonstrated several use cases across our portfolio, including Google's Gemma 3 model running natively on our multimodal processors, highlighted our differentiated Wi-Fi sensing and Bluetooth channel sounding capabilities and one of our partners, Grinn, demonstrated a robotic hand built using Synaptics processors, connectivity and sensing products. We want to thank the analysts and investors who visited our booth. A defining theme at CES and across the industry is the accelerating shift towards physical and edge AI, as intelligence moves closer to the device. This evolution aligns directly with Synaptics' strategic focus and core product strengths. Our portfolio is purpose-built to deliver power-efficient intelligent systems at the edge, and we believe this transition towards physical AI positions Synaptics for sustained long-term growth. We are seeing early, but meaningful traction in robotics, where Synaptics brings differentiated capabilities across processing, connectivity and sensing. One example is humanoids. Synaptics is actively engaged and sampling products with an industry leader that is building a lineup of advanced humanoids. These humanoids incorporate multiple Synaptics touch controllers designed to enable tactile sensing as well as our interface bridge product to support high-bandwidth data transport. Touch sensing is critical for humanoids to perform physical tasks, including sensing force, proximity and surface characteristics. Our touch controllers integrate ML/AI algorithms that enable this level of dexterity, allowing a humanoid to modulate grip force ranging from delicate glassware to solid metal objects while distinguishing subtle pressure variations between plastic and paper cups. As we expand into new markets, we see growing applications for our intelligent sensing portfolio at the deep sensor edge. More broadly in robotics, we are engaging with a growing set of new customers and entering new markets. These engagements span multiple applications that tend to benefit from physical AI and leverage our portfolio of sensing, video interface, processors and connectivity technologies. Our recently introduced Astra multimodal microprocessors are seeing strong interest from both customers and partners. They are choosing Synaptics Astra over competing platforms because of its open source architecture, developer-ready software, power efficiency and differentiated AI capabilities enabled by Synaptics' Torq neural processing architecture developed in collaboration with Google. We are engaging with customers across a wide range of industries. For example, a leading security and controls company is evaluating our Astra processors along with our connectivity technology as a complete solution, citing our differentiation in AI and power efficiency. Smart home appliance manufacturers are also showing strong interest in Astra for its low-power AI native design. As physical AI continues to gain momentum, we expect customers to embed increasing levels of intelligence across their devices. Our partner ecosystem for processors continues to expand across industrial markets. We are collaborating with Toradex, a leader in single-board compute solutions, serving industrial automation, health care, transportation, agriculture, smart city and aerospace markets. This quarter, we also added another European partner focused on industrial applications. In addition to our Linux-based Astra microprocessors, we are gaining meaningful traction with our high-performance AI-native Astra microcontroller portfolio. During the quarter, we secured a design with a Tier 1 consumer electronics OEM that selected Astra for its differentiated vision capabilities, enabling gesture-based system control in smart televisions. While this is one example, the Astra MCU supports a broad range of vision modalities, including presence, object detection and security. Customer engagements are continuing to broaden across multiple end markets, and we expect to share additional design wins in the coming quarters. As our current Astra products continue to gain traction, we are executing with discipline and advancing our roadmap. This quarter, we are further expanding our Edge AI portfolio by sampling 2 new products. First, our Astra MCU with connectivity that combines our low-power microcontroller, neural processing technology and latest connectivity into a single monolithic system on a chip. Importantly, it is the only solution in its class to support Wi-Fi 7, Bluetooth 6.0 and Thread, while competing solutions remain anchored to Wi-Fi 6. This device also uniquely integrates front-end touch and voice interfaces, delivering a true system-level solution, enabling meaningful bill of material savings for customers. Second, Synaptics connectivity SoC is our latest device that supports Wi-Fi 7, Bluetooth, BLE and Thread. It is a stand-alone connectivity solution that can be easily integrated into systems using non-Astra compute platforms, furthering our participation in the broader edge IoT market. We are seeing strong interest for these products from home appliance manufacturers, security camera customers, drones, robotics and broad-based IoT module makers, and we expect revenue contribution beginning in calendar 2027. Turning to enterprise and mobile touch. We continue to focus on premium tier of the market. In enterprise, we have seen steady improvement as customers gradually upgrade their infrastructure to support return-to-office initiatives and replace an aging installed base. In mobile touch, we secured another foldable design with a leading OEM in China, reinforcing the technology leadership we bring to this market with our next-generation touch architecture and building on the momentum established by last quarter's win with a leading Korean OEM. As we have noted previously, our content is more than 2x higher in foldables. We are actively engaged with additional smartphone OEMs and remain confident in being able to scale this technology to other large display applications. As we continue to focus the company on edge AI solutions, I am combining our processors and connectivity teams into a single organization. This better aligns our resources and accelerates our roadmap to more efficiently deliver world-class integrated processor and wireless system solutions. To summarize, we are seeing continued improvement in our financial performance with double-digit year-over-year revenue growth and operating profit growing at nearly twice the rate of revenue. We are accelerating our innovation and product roadmap to capitalize on growing physical and edge AI opportunity. With a differentiated platform and expanding pipeline and growing customer engagement, we believe Synaptics is well positioned for sustained long-term growth. I will now turn the call over to Ken to review our second quarter financial results and outlook for our fiscal 2026 third quarter.
Ken Rizvi: Thank you, Rahul, and good afternoon, everyone. I will focus my remarks on our non-GAAP results, which are reconciled to GAAP financial measures in the earnings release tables found in the Investor Relations section of our website. Now let me turn to our financial results for the second quarter of fiscal 2026. Revenue for fiscal Q2 was $302.5 million, above the midpoint of our guidance and up 13% on a year-over-year basis, driven by strength in our Core IoT products. The revenue mix in the second quarter was in line with our expectations, 31% Core IoT; 53% enterprise and automotive; and 16% mobile touch products. Core IoT product revenues increased 53% year-over-year, driven primarily by continued strength in our wireless connectivity products. Enterprise and automotive product revenues were up modestly year-over-year and slightly ahead of our expectations. Mobile touch product revenues increased 3% year-over-year. While supply constraints are improving, we still see challenges in certain areas. Second quarter non-GAAP gross margin was 53.6%, slightly ahead of the midpoint of our guidance. Second quarter non-GAAP operating expenses were $104.2 million, better than the midpoint of our guidance. Our non-GAAP operating margin was 19.2%, up approximately 160 basis points sequentially and 190 basis points year-over-year. Non-GAAP net income in Q2 was $48.4 million. And non-GAAP EPS per diluted share came in above the midpoint of our guidance at $1.21 per share, an increase of 32% on a year-over-year basis. Now let me turn to the balance sheet. We ended the fiscal second quarter with approximately $437.4 million in cash and cash equivalents, down $22.5 million from the prior quarter as we repurchased $36.4 million of our shares in Q2. Through fiscal Q2, we have bought a total of $43.6 million of our shares. Cash flow from operations was $30 million in the second fiscal quarter, and capital expenditures for the second quarter were $11.6 million. Depreciation for the quarter was $7.6 million. Receivables at the end of December were $132.7 million and days of sales outstanding were 39 days, up slightly from 37 days last quarter. Our ending inventory balance was $158 million, which increased by $15 million from the previous quarter. Days of inventory were 101 days compared to 94 days at the end of the last quarter. This increase reflects our strategic decision to purchase inventory slightly ahead of demand. Now turning to our third quarter of 2026 guidance. Our guidance is subject to ongoing macroeconomic and global trade and tariff-related uncertainty. Please refer to our safe harbor statement in the earnings release and in our supplemental materials. For Q3, we expect revenues to be approximately $290 million at the midpoint, plus or minus $10 million. And our guidance for the third quarter reflects an expected revenue mix from Core IoT, enterprise and automotive and mobile touch products of approximately 32%, 54% and 14%, respectively. We expect non-GAAP gross margin to be 53.5% at the midpoint, plus or minus 1%. Non-GAAP operating expenses in the March quarter are expected to be approximately $106 million at the midpoint of our guidance, plus or minus $2 million. We expect non-GAAP net interest and other expenses to be approximately $2 million and our non-GAAP tax rate to be in the range of 13% to 15% for the third quarter. Non-GAAP net income per diluted share is anticipated to be $1 per share at the midpoint, plus or minus $0.15 on an estimated 40.6 million fully diluted shares. This wraps up our prepared remarks. I would like to turn the call over to the operator to start the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Ross Seymore of Deutsche Bank.
Ross Seymore: First question is probably a little bit of a negative spin and the second will be a little more positive. So the first question is we're seeing some of the supply -- you mentioned some of the supply issues going away in mobile, but we're seeing more pressure on that with memory cost availability, et cetera. So I guess, do you guys see any issues with that in your mobile touch business and perhaps your PC business? And are those 2 still roughly 30%, 35% of total revenues?
Rahul Patel: Ross, this is Rahul. As you know, majority of our mobile business, in fact, all of our mobile business is in the premium to high tier. And by virtue of us being in that category, we are not seeing, as of this moment, any substantial pressure on volumes that we had anticipated we were going to experience. And so relative to the rest of the mobile market, where they may be seeing some supply pressures, the premium tier seems to be a lot more stable. And it feels like it's a bit immune to the supply challenges, especially if you are referring to memory-related challenges.
Ken Rizvi: Ross, this is Ken. Just to clarify, right, our comments were related to our ability to get supply for some of our products for the mobile touch market. If you recall, last quarter, we highlighted that, that's starting to ease for us, but it is specific to us getting the supply for some of those touch products for the mobile market.
Ross Seymore: The PC half of that question?
Ken Rizvi: Same thing. If you look at the PC market, it's as Rahul highlighted, if you look at where we play, we play in the high end in the enterprise market. And so if you look at that demand elasticity, historically, that's a more inelastic market. If I just take a look at my own behavior for Synaptics as the CFO, if we have a new employee, I'm going to give them a PC. If that PC costs $50 or $100 more, they're going to need that PC. So for those portions of the market where we service, which is really that premium tier, as Rahul highlighted earlier, we believe there's a bit more demand elasticity in the sense that the enterprise and high-end consumer markets will still need to purchase those PCs as we go through this upgrade cycle.
Ross Seymore: And I guess the positive follow-up question, the Astra side, you guys had some great demos at CES. Thanks for showing those and it sounded like some good traction, design wins, engagements, those sorts of things. Rahul, when should we start to see that be a meaningful tailwind in your Core IoT business? And does it also kick in on the gross margin line beyond just revenues?
Rahul Patel: Ross, we -- as you have indicated earlier, we are still on track to see meaningful revenue contribution in calendar 2027 from our Astra line of products. And they are -- Astra as a product category is very accretive to gross margin. So you can see potentially contributing not only to the top line, but also improving our gross margin contribution as well as a result.
Operator: And our next question comes from the line of Tom O'Malley of Barclays.
Thomas O'Malley: Mine is on the guidance and gross margins in particular. If you look at the moving pieces, mobile is down the most. Obviously, volume is coming down a little bit. So you would expect a little bit of an impact from gross margin. But just with mobile being kind of the lowest gross margin business, you would expect some tailwinds there. Anything in particular that you want to call out on gross margins into the March quarter? Is it just mix related and volume related?
Ken Rizvi: Yes, Tom, thanks for the question. I think we're still in this range here in that mid-53% range, 53.5% is where we guided. Obviously, there are some boundaries around it. We'll try to do better. But for the current mix of the product and portfolio for Q3, that's where we're ending up.
Thomas O'Malley: Super helpful. And then maybe just a broader question on the portfolio. Where are you in the sampling process across new chips? You had kind of talked about the second half with the device with the lead customer that you kind of talked about. Any update there on timing? And what should we be paying attention to in terms of announcements, et cetera, in the coming months?
Rahul Patel: Tom, this is Rahul. So we have started to sample our microprocessor, Astra microprocessor last quarter towards the end of calendar quarter 3, early part of calendar quarter 4. And that sampling has gone just as expected, in fact, ahead of our plans. We anticipate going into production on that part end of this quarter, early part of next quarter. In my prepared remarks, I talked about 2 new products that are in early phase of sampling at this point. The one that we talked about is the Astra product is a microcontroller that is integrating an NPU. It's also integrating certain interface for benefiting of the bill of materials and many other things. But importantly, it is in its class, I can think of, based on what I can see from my side, the only MCU that has got Wi-Fi 7, BLE and Bluetooth 6.0 and Thread integrated into silicon. That is sampling right now. And we are not going to walk away from non-Astra opportunities. And so for that, we have also built a Synaptics connectivity part that is Wi-Fi 7, Bluetooth, BLE and Thread that can integrate onto non-Synaptics processors as well. And so both of those products are in early phase of sampling. And then I believe you may have hinted about the semi-custom MCU that is still for a major customer that is still on track for being taped out in early part of the next quarter, more likely April time period. And so you can see the entire lineup on Astra processors as well as connectivity, stand-alone connectivity and integrated connectivity with market-leading Wi-Fi 7, Bluetooth 6.0 and BLE and Thread is coming out from Synaptics in the first half of this year, calendar year. And believe me, I think there's a lot more in the store that we are working towards delivering in the second half of the calendar year as well, more Astra class processors. Obviously, we are doing other things in the interface business as well, and we'll talk about them as we are about to launch in the marketplace.
Operator: And our next question comes from the line of Joe Quatrochi of Wells Fargo.
Travis Poulin: This is Travis on for Joe. So I had a question on automotive. I noticed you didn't touch on it in the prepared remarks. So I was just curious on how that did during the quarter? And secondly, how should we think about this portion of the business over the long term? I remember you mentioning that you were investing in this area last quarter. So just curious on getting updated thoughts.
Ken Rizvi: Travis, it's Ken. Thanks for the commentary. Yes, if you look at automotive, it is a small portion of our overall business, and it's been in this range, I would say, range bound here the last few quarters. What's really propelled that enterprise and automotive space is primarily on the enterprise side. And so as we focus going forward, more of our -- not only R&D dollars, but just focus is around the enterprise market as well as around Core IoT and Edge AI specifically.
Travis Poulin: That's helpful. And then I know you guys only guide like a quarter at a time, but Ken, can you help us understand like kind of what the June quarter typically looks like from a seasonality standpoint, just kind of as we calibrate our models?
Ken Rizvi: Yes, happy to. We don't provide guidance more than 1 quarter ahead, but maybe I can give you a little bit of a color here, a flavor here, as we head into June. Historically, we would expect that quarter to be up a bit from the March quarter. If we look at the starting backlog as one data point, the starting backlog for Q4 compared to the same point in time for Q3 is up. Obviously, we need to continue to see progress in those trends in terms of bookings and the like, but that's at least a strong data point for us as we look to June.
Operator: Our next question comes from the line of Neil Young of Needham & Company.
Neil Young: I wanted to ask on Astra. So regarding the pipeline for Astra, I'm not asking you to put a number out there, but could you maybe share the rough split of that pipeline by end market?
Rahul Patel: Well, I think the way to think about Astra is our pipeline is growing really fast, right? And the benefit that Astra has is it is also having a very nice companion capability in our connectivity. And so combining the 2, it becomes a very compelling solution and a starting point for many of our customers to engage with Synaptics. And so we are really encouraged by how fast the pipeline is building up on Astra and our connectivity combining together as a solution. Having said that, I think the nature of the market is such that the pipeline builds up fast for consumer applications and industrials follow. And I think it's just because of the design cycles and the entire decision-making process between consumer and industrial marketplaces, and that's how it's playing out. Our consumer pipeline is a lot larger than industrial, but that's how -- it is as expected in our launch of the Astra lineup in the marketplace. What's important is we have a SKU map, and that's extremely compelling to our customers. If you notice, we have a platform play that is built on open source platforms, very friendly to developer community. And if you heard me in my prepared remarks or the question that Tom had asked earlier, we are building our SKU map out really fast, courtesy of phenomenal IP capability that we have developed in-house that allows us to create very fast turn SoCs on Astra. And I think that is being leveraged very nicely to build out a SKU map. And what that does to our engagement with our customers is makes it very compelling because their software investment can now scale across the entire SKU map very nicely. If they are focusing on audio modalities-based MCU application, then you have Astra. If they are focusing on vision modalities-based MCU, then you have an Astra. However, your base code line and your stack for application code basically doesn't have to dramatically change as you can work within the SKU map of Synaptics' Astra MCUs and microprocessors. And so long-winded answer, Neil, but really excited about how fast the pipeline is building. Consumers definitely the lead marketplace. Industry is falling right behind consumers.
Neil Young: Great. And then my follow-up, you talked about humanoids in your prepared remarks. As you engage with customers on these platforms, the humanoid platforms, could you help us think about the typical architecture, specifically how many processing, connectivity and sensing nodes one of these humanoid robots might require and where Synaptics tends to participate within that?
Rahul Patel: Neil, in my prepared remarks, I talked about our engagement in humanoids. This has been in play for some time. What I was specifically calling out is we are now sampling silicon for pilot builds of humanoid at a major customer that's leading the marketplace and has made commitments to the marketplace to deliver pilots this year and go into production next year. This is on the backs of our touch sensory controllers and our bridge solutions that help transport high bandwidth data effectively in the humanoid. And so this is all underway. We are in the process of working with our customer, our lead customer, building out the pilot program that they are working towards basically and delivering in the marketplace this year. We see our opportunity in humanoids extending into the larger robotics marketplace. And what it means is, from my point of view, robotics is a very broad market. It goes from home vacuum cleaner to -- all the way to humanoid and everything in between. And in situations where you would have at the furthest end of the spectrum from humanoid, like a vacuum cleaner, an MCU class product with a native AI capability and wireless connectivity, not only Wi-Fi, Bluetooth, and Thread, but also GNSS and GPS, if it is on an industrial floor is very valuable. And that's the opportunity for Synaptics. If you take it up all the way back to the humanoid, you have sensory capabilities that are required that are going to mirror not only what a typical human nervous system could do, but maybe with a higher precision. And so the number of touch controllers would vary. We have demonstrated at CES partner that has come out and built a platform using I believe, 30-odd touch controllers in the Palm of a robotic arm, combining it with Astra, combining it with a vision processor and combining it with wireless connectivity. And so as you can see, this is where the opportunity is. And if you have a high-end humanoid, there may be a main processor, there may be a GPU, a data server type processor. However, that requires a lot of ML and AI data to be locally at a section of the humanoid level processed from the sensory inputs like a touch controller so that there's effective decision-making taking place within the tolerance of the latency that the end application may require. And so as you can see, the Synaptics portfolio scales very nicely from an MCU class AI native processing platform for a robotic and application to something that would be all the way to a humanoid. And you're seeing designs that are consuming our sensory capabilities, especially our touch interface and controller capabilities, not only in the palm, but also in the foot of a humanoid basically. And I think there's many things that will come about. But more importantly, again, I want to reiterate. What I was excited about in this quarter is we have started sampling our silicon for a pilot build to a company that's leading the marketplace, building multiple advanced humanoids to be delivered to the marketplace at the end of this year as pilots.
Operator: Our next question comes from the line of Christopher Rolland of Susquehanna.
Christopher Rolland: So I did want to circle back on the memory issues in PC and mobile. And I know like, for example, Qualcomm was out yesterday, and they said that there's no demand destruction that they expect because they play at the high end of the market. But also at the same time, what they said was mobile vendors, in particular, were working down their inventories. It sounded like a chips, but also in process and finished inventories and that this could take as long as 6 months to kind of work through. And so I wanted to make sure that there weren't any channel effects from that perspective that could affect you guys for both the PC market and the mobile market.
Ken Rizvi: Yes. So Chris, it's Ken. Thanks for that note. So a couple of things. One, if you look at just overall mobile business relative to -- on the mobile touch relative to some of the other categories, it's a small category for us, so in terms of percent of sales. Number two is even if you look at our channel inventories, -- we -- channel services for us mostly logistics for us, but we monitor that because that's the best view we have into various markets and OEMs. And that inventory is very lean and remains very lean and has over the last few quarters. So it's tough for us to comment on other companies and their inventories and supply chains. For what we can see here, which we give guidance 1 quarter ahead, and I gave a few verbal comments in terms of how we're thinking about June. We play at that high end of the market, both on the enterprise side and on the mobile side. Obviously, it's something we'll continue to monitor and look at the memory market -- it does -- it goes into many and multiple devices, as we all know. But from what we can see for our March quarter and at least the early signs in the June quarter, we still are seeing reasonable and robust and healthy backlog and bookings levels.
Christopher Rolland: And then I guess, secondly, I know mobile is smaller for you guys, but combo chips, connectivity into mobile, there can be potentially high volumes there. Is this a real opportunity, call it, '27 and beyond? Or do you think just the IoT market is really all the focus and will ultimately be all the contribution?
Rahul Patel: Chris, this is Rahul. From where we stand, let me start with connectivity. Connectivity for us is the entire SKU map. From IP development point of view to delivery of end products, we intend to build out the entire SKU map. As you probably may know, we have all the way from mobile platform class, premium mobile platform class, Wi-Fi 7, Bluetooth connectivity to an IoT class integrated into Astra processor, Wi-Fi 7, Bluetooth 6.0, BLE, Thread connectivity kind of a portfolio of products. And obviously, we have obviously prior generations as well. We are also building out Wi-Fi 8 as we speak and plan to sample Wi-Fi 8 by the end of this year to our customers. And so going back to your question, generally, we start at the high end and waterfall very quickly into the IoT class products with our Wi-Fi capabilities and Bluetooth capabilities. And so going back to your specific question about play in mobile, we are going to be remaining very opportunistic in terms of the available platforms. We are not going to go head on in a platform chipset competitive situation because it just does not bode well for us in terms of competitive landscape. And so there can be opportunities as many phone OEMs are now also choosing to build their own apps processor. However, and one of them has also gone down this path of building their own cellular modem, but many of them don't have their wireless connectivity in play. And so opportunistically, because we are going to advance our wireless connectivity for our IoT marketplaces, we will continue to look for opportunities in smartphone, where it would be a reasonable gross margin and profit contributing engagement for Synaptics. And that's how I would think of our play in mobile on a going-forward basis for wireless connectivity.
Operator: Our next question comes from the line of Kevin Cassidy of Rosenblatt Securities.
Kevin Cassidy: Congratulations on the great results. Just maybe even along those same lines as putting wireless connectivity and mobile, is there opportunities in PC? And maybe in a bigger question, what do you see in the enterprise PC market? Is there a refresh coming? Or has the DRAM shortage put a stall to that?
Rahul Patel: So Kevin, this is Rahul. Let me first take on the enterprise PC. Our play in enterprise PC has benefited on 2 different vectors. First, we see the refresh gradually coming to play. Second, our team has done a phenomenal job gaining market share within the Enterprise segment. And so we got 2 things working for us in the PC space at this moment versus the larger PC marketplace, especially being in enterprise. I think you were also asking about wireless connectivity in PC. We absolutely will not go there in -- with wireless connectivity in PC, if that is what you're asking for, largely because it's a platform play, and it's a very tightly built platform by the x86 vendors. And there's -- it's not margin conducive. It's not P&L conducive to go down this path of investing in Windows at this time.
Kevin Cassidy: Great. Understood. And you've had tremendous growth in your wireless connectivity in the IoT market. What -- who do you see as your competitors in that market? And do you think you're outgrowing the market? It seems that it would be, but maybe if you could share some of what you see in the market.
Rahul Patel: Kevin, I can't think of any microprocessor or MCU company investing in wireless connectivity at the pace at which we are not only investing, but also advancing to a newer generation of wireless connectivity. We have over 500 engineers right now working on Wi-Fi 8 at Synaptics, right? And we believe that an MCU play or processor play in absentia of wireless connectivity is depriving the customer of a solution and a starting point that is very cost effective to build the end product from basically. And I think -- that is where we are differentiating on advancing our roadmap being the first in the IoT world to bring wireless connectivity and also the AI native Astra processors. Having said that, I do realize that there is this huge opportunity of non-Astra MCUs and processors in the IoT world. And so if you reflect on my prepared remarks, we are also sampling host independent, independent of what the host may be, a wireless connectivity solution, Wi-Fi 7, Bluetooth 6.0, BLE, Thread, SoC that can run its driver software by itself and not bother the host processor. However, make the non-Astra non-Synaptics processor platform extend with wireless connectivity very seamlessly. And so that is what we see as our SKU map doing. Competitively, I don't see any MCU or microprocessor available outside of Synaptics that has Wi-Fi 7 integrated. The last thing I saw was Wi-Fi 6. And so competitively, we feel very strong about our position on wireless connectivity across the entire SKU map with our processors and being a wireless connectivity supplier without our processors and also where we are going on the roadmap with potentially bringing to life Wi-Fi 8 from Synaptics this year.
Operator: Our next question comes from the line of Robert Mertens of TD Cowen.
Robert Mertens: This is Robert on behalf of Krish Sankar. Let's see. I know we've gone over a lot of the finer points of your Astra processor platform. But maybe if you could just take a larger view in terms of the customers that you're working with and the progress that they're making with the roadmaps. Are you sort of expecting more of the additional demand to come from this industrial applications? Or is it a mix of both the industrial as well as consumer customers? Any sort of details of just sort of how that mix is playing out would be helpful.
Rahul Patel: Yes. I think excellent question. So I mean, if you noticed in my prepared remarks, every quarter for the last couple of quarters or last 2 or 3 quarters, I have cited examples of our designs. And those designs are generally with leading customers in that market category or that product category. On this quarterly call, in prepared remarks, I talked about our Astra processor that brings the benefit of processing out of band certain vision modalities, ultimately creating an experience for a television OEM that is very unique and differentiating from interacting with the television. At the same time, television becoming very intelligent to understand who's in the room, what needs to be done, turning on parental control is an example, right? And so I think you will see some of these examples cited. Having said that, the scope of our engagement is a lot broader in the marketplace in terms of design activity. And majority of our initial ramp is going to be in the consumer side. There will be industrial designs that will ramp a little later than the consumer designs. At the same time, if you pull back and look at our edge IoT play, and I cited our play in humanoid, right, that in itself is an indication of where we will be going in the industrial marketplace with our product capabilities. Now having said that, this one large important customer leading the market in humanoid has indicated to the world that they are going to pilot -- ship pilots basically this year and go into production in 2027, late 2027, indicating exactly how the industrial marketplaces play out. And so giving you a taste of us leading in the consumer space from a revenue recognition point of view in '27 and maybe in '28, calendar '28 time period, you will see some revenue coming through industrial channels.
Robert Mertens: Great. That's helpful. And then just a quick follow-up. In terms of just your view into the market, what's your current view of channel inventory? Are we more normalized levels? Or are there any areas of your business where inventory levels could be a near-term headwind still?
Ken Rizvi: Yes. Thanks, Robert, it's Ken. On that front, if you look at our inventory levels in the channel, just to highlight the distri channel for us is primarily a logistics-oriented channel for us. It remains very lean for us. We went through what I classify a couple of years ago, this COVID boom and COVID bust. And over the last 3 quarters or so, we finally leaned out where we're shipping really towards end market demand. So we're in good shape across the board when we look at those inventories.
Operator: Our next question comes from the line of Peter Peng of JPMorgan.
Peter Peng: You guys have intentions to move down to the broad market. So I guess just given the recent acquisition announcement in the space, how are you guys thinking about this part of the market now? Is it becoming I think more competitive because of potential cost advantages from the other players? Maybe just share your thoughts on that.
Rahul Patel: Peter, this is Rahul. First and foremost, we feel very strongly about the leadership that we have in certain edge IoT solutions play. We believe our portfolio in wireless connectivity from the edge IoT marketplace is bar none in the marketplace. And so we feel very strong about our position and what we are investing from a roadmap point of view versus everybody in this marketplace at this time, especially the MCU class and the microprocessor class products. Having said that, if you're referring to this one company that got acquired or is in the process of getting acquired, our markets did not overlap. They were largely focused on MCU with integrated BLE with some Wi-Fi coming, but not a whole lot of Wi-Fi in their end products. And so our play is vastly different. Our play is a lot more broader in terms of the end market participation within the larger edge IoT marketplace. And so we seem to be engaging with customers that I would think they may not be able to engage. And that's how I see our play on a going-forward basis continuing.
Peter Peng: And a follow-up question is you talked about the semi-custom project being on track. And I think last quarter, you talked about several other engagements as well. I guess like when you think about just this opportunity, what are some of the criteria that you look for to drive the engagement, either in terms of volumes, like market success? Like maybe just give us some parameters on how you think about these certain engagements.
Rahul Patel: Yes. Peter, it's an excellent question. I believe in anchoring our roadmaps to certain large customers' vision and roadmaps. And this semi-custom opportunity with our MCU is anchored to a large OEM that believes in hybrid compute for AI. And the edge of the consumer side is where we are engaged with this large company that builds products using our semi-custom MCU implementation. What will happen is this large OEM will build a software stack upon which various applications will reside. And ultimately, we become part of their reference -- our silicon becomes part of their reference design that is not only used in that first-party product, but also in the third-party product, very analogous to what you see in the phone marketplace. And so -- and not the iOS phone market, but the other marketplace. And so long story short -- that is what entails a typical opportunity for semi-custom play for us on a going-forward basis. It is an opportunity that is not just point play, but it is also something that will build around the next chip that we provide to the same OEM for advancing their product as well as our roadmap in the process. And so along the same lines, I think in the world of humanoid and robotics, we have anchored ourselves to a very large leader in the marketplace that when the day comes, I think you will be able to say, yes, it is a large leading company in this marketplace. And so those are the things that you would see in decisions that we make when we do semi-custom play with end customers.
Operator: I'm showing no further questions at this time. I'll now turn it back to President and CEO, Rahul Patel, for closing remarks.
Rahul Patel: In closing, I want to emphasize that the Synaptics team is executing with focus as we advance our strategy. We are expanding our portfolio with new products that strengthen our leadership in edge AI. Our financial results highlight our ability to grow the company with disciplined execution. I want to thank our global team for their hard work and dedication and to you all, our shareholders, for your continued support of Synaptics. Have a great rest of the day.
Operator: Thank you for your participation in today's conference. This concludes the program. You may now disconnect.